Operator: Good morning. My name is Sydney, and I will be your conference operator today. At this time, I would like to welcome everyone to the EyePoint Pharmaceuticals Third Quarter 2019 Financial Results Conference Call. There will be a question-and-answer session to follow at the completion of the prepared remarks. Please be advised that this call is being recorded at the company's request. The company will be referencing a slide presentation during the call, which can be located on the Investor Relations tab on the corporate website www.eyepointpharma.com.I would now like to turn the call over to Ms. Kimberly Minarovich, from Argot Partners.
Kimberly Minarovich: Thank you, Sydney, and thank you all for joining us on today's conference call to discuss EyePoint Pharmaceuticals third quarter 2019 financial results. With me today is Nancy Lurker, EyePoint's President and Chief Executive Officer; and Scott Jones, Chief Commercial Officer. Nancy and Scott will provide an overview of the recent progress made in our commercial launches, as well as highlight recent corporate developments and detail the third quarter 2019 financial results. We'll then open up the call for your questions.George Elston, our Consultant and Interim Chief Financial Officer and Dario Paggiarino, Senior Vice President & Chief Medical Officer will be available during the Q&A.Earlier this morning, we issued a press release detailing the financial results as well as commercial and operational developments. A copy of the release can be found in the Investor Relations tab on the corporate website www.eyepointpharma.com.Before we begin our formal comments, I'll remind you that various remarks we will make today constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments and regulatory matters and time lines, the potential success of our product candidates, financial projections and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC, and in other filings that we may make with the SEC in the future.Any forward-looking statements represent our views as of today only. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today.I'll now turn the call over to Nancy Lurker, President and Chief Executive Officer of EyePoint.
Nancy Lurker: Thank you, Kimberly. Good morning, everyone. And thank you for joining us. I am encouraged by the progress that the EyePoint team made during the third quarter following the launches of our two commercial products; DEXYCU and YUTIQ.We are gaining momentum in the marketplace as physicians and Ambulatory Surgery Center or AFC adoption increases as evidenced by increased customer orders and repeat orders. New unique accounts being added and increased order size. These efforts are a direct result of the hard work and dedication of our key account manager sales team that continue to travel throughout the U.S. to bring our ophthalmic products to patients in need.Although, Q3 total revenues of 2.5 million were lower than the prior quarter, driven in part by a strategic decision by our distributor to significantly reduce their carried inventory, we are very pleased with the underlying customer adoption we are seeing. Our product renew is recognized under the title model where we ship product to our distributor and title transfers to them.This accounting mechanism does not necessarily reflect the underlying customer order activity, especially in the early stage of our product launch. And we plan to provide various metrics today to help listeners understand this process and get a better sense of the high degree of enthusiasm that we are seeing for these two products.Let me begin with DEXYCU or dexamethasone intraocular suspension 9% for the treatment of postoperative inflammation, and including following cataract surgery.Please refer to slide 6. While the DEXYCU selling process of training physicians and educating their associated ASC takes time, we have made significant progress demonstrated by the important metric of customer demand. Customer orders for DEXYCU were up 207% over Q2 and September was our strongest month since launch with more customer orders in September alone than in all of Q2.Second and importantly, 37% of all ASC orders placed in Q3 were repeat orders, accounting for 74% of total order volume through the end of the third quarter with September representing the highest volume month for repeat orders today.This shows that once used DEXYCU -- DEXYCU was used – excuse me, doctors and ASCs are ordering more of it. We consistently hear about DEXYCU’s strong efficacy and efficient administration.Referring to slide 7, which highlights our cumulative order growth since launch, you can see the order momentum increasing each month. DEXYCU month over month growth average 62.5% in the third quarter. Again, you can see how strong September was in this graph. The increase is being driven by greater adoption by physicians, coupled with a higher degree of confidence by individual ambulatory surgery centers relative to reimbursements. We are very pleased with these trends.Our salesforce is doing a tremendous job thus far and we are seeing signs of greater momentum early in the fourth quarter. Reimbursement of DEXYCU has been consistently positive based on the whack price of $595. Medicare fee-for-service claims continued to be paid consistently and Medicare Advantage and commercial paid claims increased quarter-over-quarterAverage time to payment for all payer sectors continue to decrease and we expect this decrease to continue as payer systems incorporate the permanent DEXYCU J-Code.We believe that DEXYCU is emerging as a favorite treatment for inflammation following ocular surgery. A number of you witnessed several live surgeries during our Surgery Day event held in September, at a very busy surgical practice in the New York area. The lead surgeon there performed several cataract surgeries using both DEXYCU and alternative treatments. There was a clear advantage shown with DEXYCU given its targeted administration and seamless integration into the cataract surgical procedure.To demonstrate how efficient DEXYCU's insertion is, please take a look at this video on Slide 8. The cataractous lens has already been removed and replaced with an intralocular lens and you can see now the surgeons administering the cannula over the eye and right now just injected DEXYCU which is peeking out from under behind the iris. You can see that little pearl there peeking out. You can see how quickly this is. There's no new insertion -- incision needed and the surgeon's done.Feedback from early adopters highlight DEXYCU's efficacy and rapid injection time of less than one minute, which does not materially impact a physician's surgery schedule.Recall these are extremely busy surgeons who want to quickly move from surgery room to surgery room and try to complete each cataract surgery in eight to 12 minutes. They usually do not want any new procedure to significantly slow them down. They are very pleased with the easy and rapid administration of DEXYCU.DEXYCU remains in the eye for up to 22 days delivering dexamethasone and providing critical dosing of this anti-inflammatory medicine, ensuring patient compliance and thus obviating the need for steroids, eyedrops all their complexity and simplifying their post operative eye drop regimen by up to one-third.We urge you to view several other videos on our website, which highlights physician and patient experiences with DEXYCU. You can locate these videos on the corporate website in the pipeline section at www.eyepointpharma.com.Turning now to YUTIQ or fluocinolone acetonide intravitreal implant 0.18 milligrams for the treatment of chronic non-infectious uveitis affecting the posterior segment of the eye. We are making very positive inroads with physicians who recognize the need for long acting treatment to control uveitis flare, which can lead to blindness if not properly managed.Now please refer to slide 10. During the third quarter, customer orders for YUTIQ increased 17% as compared to the second quarter, 53% of customers that ordered to the quarter were repeat customers and their orders accounted for 85% of total order volume. Cumulative orders since launch, are also shown. On slide 11, you can see YUTIQ month-over-month growth of cumulative orders for the quarter average at 22%. This increase has been driven by greater awareness and adoption of YUTIQ.We strongly believe, we're only in the beginning of YUTIQ's growth trajectory as the physician and patient community becomes educated on how we address this very high unmet need. I also thank our clinical team who continue to showcase, YUTIQ's long-term efficacy and safety through a well managed cadence of data publications and presentations at high profile scientific conferences, most recently at the Retina Society and the American Academy of Ophthalmology annual meetings in very well attended presentation.The presentations concluded that treatment with YUTIQ not only resulted in a significant reduction in the three year rate of uveitis recurrence, but that YUTIQ also reduce the cumulative number of inflammatory episodes in eyes that did relapse. It also highlighted that a single intravitreal treatment of YUTIQ significantly reduce the need for adjunct of therapies in this group of patients. And the long-term effects on intraocular pressure are manageable and not different than a sham injection. These efforts provide additional continued support for YUTIQ's value for treating this terrible disease.On the reimbursement front, Medicare fee for service claims have been paid consistently. And a growing number of Medicare Advantage and commercial payers are covering YUTIQ. Also and importantly, a permanent and specific J-Code for YUTIQ is in effect as of October 1, 2019. This new code will expedite reimbursement claims paid just a few weeks, compared to up to three months with a miscellaneous code.During the quarter, we did see YUTIQ customer demand slow in September, as prescribers were very clear to us; they wanted to wake with permanent J-Code to go into effect to avoid the cumbersome reimbursement process with the prior miscellaneous J-Code.We are very pleased with the customer order trajectories for both products this quarter, despite the disconnect with reported revenue under the title model. Given this complexity, customer orders and reported revenue will likely track separately for an extended period of time beyond initial launch. As customer demand patterns may not align with a distributed inventory restocking procedures. We are evaluating the possibility of transitioning out of the title model, which will provide greater transparency.Going forward, we intend to share customer metrics, so you can gauge our product progress for DEXYCU and YUTIQ, two very exciting new treatment paradigms in ophthalmology.Now, I'm going to turn the call over to Scott Jones, Chief Commercial Officer, who will discuss some recent new contracts with integrated health networks that will broaden the reach of DEXYCU and YUTIQ, as well as other sales and marketing initiatives that commenced during the quarter. Scott?
Scott Jones: Thank you, Nancy. The efforts by our sales team to support the launches of our two commercial products, DEXYCU and YUTIQ are showing progress as we're seeing increased awareness and adoption.Let me begin with our activities for DEXYCU and you can refer to slide 13. During the third quarter, our team of 33 camps for DEXYCU called on over 8,000 medical professionals including over 500 physicians. We've also had over 350 ambulatory surgery centers that have completed the training and certification process for DEXYCU.These efforts have resulted in increase in a number of new accounts that have been activated, a shorter sale cycle and a shorter time to reorders and increasing numbers of units ordered by individual physicians.Our sale cycle begins with initial engagement with the target physicians where the camp introduces DEXYCU is -- and its compelling product profile as well as the positive efficacy and clinical safety data. From there, we educate the physicians, ASC staff and other key decision makers within the ASC with the goal to drive to a commitment to DEXYCU trial.Our team then schedules the DEXYCU trial, utilizing samples with the intent to eventually certify the ASC on the proper administration of the product. Billing education is also conducted with the ASC staff with the key focus on the straightforward J-Code billing process. Once the first order is place and before surgery, centers typically wait to confirm reimbursement is in place before placing the next order and subsequently scheduling patients. Our camp team provides ongoing surgical support throughout the reorder process. We have seen solid success in orders from our targeted core high volume physician on ASCs typically in markets that have the largest population of Medicare beneficiaries and with the highest concentration of cataract surgeries.Further, our educational efforts targeted to the ASCs and the private equity firms that own many of these centers, continue to highlight the value proposition that execute brings to both doctors and patients.The feedback that we have received has been very positive. Whereas physician signed the elegant and rapid administration that fits well into the cataract procedure, allowed for no disruption in their basic surgery schedule.We continue to optimize the sale cycle by expediting the training to increase adoption and orders. The time from the initial call by, surgeon was up to the first physician order has been trending at around five weeks where reorders beginning to come in.We now see that this timeframe is drops to 3.9 weeks, from the time of the first order to the second order. And if we further look at the time from the second order to the third order, that time is further reduced to 2.5 weeks.We expect the cell cycle to further compresses, physicians offered to execute as their choice treatment for post surgical inflammation, falling cataract surgery. And continue to play some more frequent and subsequent bulk orders.Our communication about the J-Code on DEXYCU has reduced concerns around reimbursement. And customers' level of comfort with the claim education process continues to grow, as claims are consistently paid.Our efforts are yelling results as physicians have increased. Their unit orders and the sales momentum has been building monthly. Importantly, we're seeing that for most accounts, the number of units ordered has nearly doubled.And the second order places compared to the initial order. And we're highly encouraged by the DEXYCU market opportunity of our targeted accounts to be valued at approximately $2.5 billion.The ASCs which today have been in service and trend that are as part of our launch initiatives would create a value of 120 million with those ASCs that have reordered, bringing a value of about 97 million.If you further look at just those accounts that have placed at least three or more orders, that is a market opportunity of about 28 million. So this figure highlights the market growth potential to execute and reinforce the attractive market opportunity for this product.Turning to YUTIQ, demand remained strong supported by our clinical data which highlights safety and long-term durable advocacy up to 36 months. In an effort too support increasing interest in the market.We have recently added two additional territories to our YUTIQ team. and we will soon have 12 KAMs and so calling on top uveitis specialistDEXYCU and YUTIQ have also gained acceptance in multiple integrated health networks, which is a positive harbinger for future growth as highlighted on slides 15. We recently entered into an interim agreement for DEXYCU and YUTIQ to be added to the U.S. Department of Veterans Affairs Federal Supply Schedule. This will extend the reach of our two products to nine plus million beneficiaries within the VA system, as well as select other federal agencies.The final contract is anticipated to be executed in the coming months as expected to have a five year term. In addition, we recently entered into a three year agreement with Vizient on for the DEXYCU brand, further expanding the reach of this product through some of the largest and most influential hospitals and surgery centers in the U.S.Vizient for those of you that aren't aware is one of the largest GPOs in the nation and includes more than 50% of the nation's acute care providers, including 95% of the nation's academic medical centers and more than 20% of ambulatory care providers.Vizient provides expertise, analytics, advisory services, as well as a contract portfolio that represents more than 100 billion in annual purchasing volume, all with the concept of trying to improve patient outcomes and lower costs.With these contracts in place, we have further increase the reach of our products to patients in need and expand the x -- and the expanded access should begin to be impactful in future quarters.On the marketing side, we're actively expanding our peer-to-peer promotion, our social media presence and we're hosting a number of roundtable discussions which offer our key positions and opportunities to share their patient experiences and discuss the impact on surgical time when they incorporate DEXYCU into their protocols, and also to talk about patient flow and importantly, patient outcomes.Our goal is to expand EyePoint’s reach into the medical community and increase in physician interest in our products. In summary, we believe that our initiatives are the right steps forward to support the future growth for DEXYCU and YUTIQ.Now let me turn the call back over to Nancy.
Nancy Lurker: Thanks, Scott. Moving now to an update on our pipeline on Slide 16. We continue to make progress with our six month duration YUTIQ product and expect to provide an sNDA update in the coming months. Our six months sustained release bio-erodible intravitreal insert continue to Tyrosine Kinase Inhibitor or TKI was investigating and preclinical efficacy and safety studies in animal models of Wet AMD.Additional preclinical IND enabling studies are planned for this year. We expect to advance this program into the clinic late next year and are very excited about its potential and the attractive Wet AMD market and possibly in other retina conditions, requiring sustained and controlled Anti-VEGF delivery. In addition to assessing organic growth opportunities, we continue to evaluate and welcome business development opportunities to augment our product pipeline and also evaluate partnerships surrounding our Durasert and Verisome technologies.Now I will review our financial results that are included in the press release that was issued this morning. For the three months ended September 30, 2019, total revenue was $2.5 million compared to $486,000 for the three months ended September 30, 2018. Net product revenue with $1 million representing primarily DEXYCU, restocking by our distributor. Due to sufficient inventory stocking at our distributor YUTIQ did not have any restocking revenues under the title models during the quarter, neither product had net revenue in the corresponding quarter in 2018.During the third quarter, our distributor notified us, they are moving to reduce their carrying risk for new programs and we will be migrating to a lower seven-day inventory level. This change resulted in limited restocking for our recently launched programs, as our standing inventory was reduced substantially by customer orders from our sales efforts.Net revenue from royalties and collaborations for the three months ended September 30, 2019 totaled $1.5 million, compared to $486,000 in the corresponding quarter in 2018. This includes a $1 million milestone payment from Ocumension Therapeutics triggered by their approval of their Investigational New Drug in China for a three-year micro-insert containing 1.8 milligram of fluocinolone acetonide using the Durasert technology. We market this under the brand name of YUTIQ in the United States, Ocumension intends to market it under their own brand name, but it essentially is YUTIQ.Operating expenses for the three months ended September 30, 2019 increased to $16.6 from $14 million in the prior year period, due primarily to investments in sales and marketing infrastructure and program costs, professional services and cost of sales related to product revenue, partially offset by decrease in research and development expense. Non operating expense, net, for the three months ended September 30, 2019 totaled $1.6 million of net interest expense. Net loss for the three months ended September 30, 2019 with $15.6 million, or $0.15 per share, compared to a net loss of $33.1 million or $0.44 per share for the prior quarter.As of September 30, 2019 cash and cash equivalents totaled $31.8 million compared to $44.2 million as of June 30, 2019. There were approximately 108 million common shares outstanding as of September 30, 2019.We expect that existing cash and cash equivalents at September 30, 2019 and cash inflows from anticipated YUTIQ and DEXYCU product sales will be sufficient to fund our operating plans into 2020. Given our two commercial product launches, we've not yet established a consistent sales trajectory and therefore guidance regarding the timing of positive cash flow and revenue is not being provided.I will now turn the call back over to the operator for your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Dana Flanders with Guggenheim. Please proceed with your question.
Dana Flanders: Hi. Thank you very much for the questions. My first here, can you just speak to the Vizient contract you signed? And, I guess, the importance of that to driving DEXYCU growth next year? And how you're thinking about signing up additional GPO and other maybe non-traditional members to kind of drive reimbursement for DEXYCU? And then I have a quick follow-up.
Scott Jones: Thank you for the question. So Vizient is obviously a very important GPO contract for us. As I previously said, it opens up a significant portion of the acute care and ambulatory care markets. So we're very pleased with that. Again, we're just starting to see those contracts being loaded into the systems and customers being able to take advantage of the reduced price through the contract. So we think in the coming quarters we'll see additional benefits from that contract.The second part of your question, as to other GPOs, there're certainly a few other GPOs that we're actively working on right now, which are much more specific to the chain ASC market. That will be extremely important for us to pull through early next year. And we're very actively working on those and hopefully we'll have more information in the coming quarters.
Dana Flanders: Okay, great. And just my quick follow up. At what point should we start to see underlying demand, kind of, more closely matching revenue? Thank you.
Nancy Lurker: Hi, Dana. It's Nancy. Yes. I would say probably we need a couple more quarters until we start to see that those two trajectories merge.
Dana Flanders: Okay, great. Thank you.
Nancy Lurker: Thank you.
Operator: Thank you. And our next question comes from Andrew D’Silva with B. Riley. Please proceed with your question.
Nancy Lurker: Hi, Andy.
Andrew D’Silva: Good morning. Thanks for…
Nancy Lurker: Good morning.
Andrew D’Silva: Hey, good morning. Thanks for taking my call. I got just a few quick questions here. I'll start with ones on YUTIQ, as far as end user demand and it will align up with stocking orders and looking out through Q4, do you anticipate the bolus that you had earlier in the year from a stocking or will be able to be worked with a little bit so that they might place another order or do you expect that we should consider that to be a 2020 event? And then has there been any benefit from the whole Allergan and OZURDEX shortage?
Nancy Lurker: So to your the first question is the answer is definitely we will see orders placed by our distributor or the title model in 4Q. So that inventory as I mentioned on YUTIQ has pretty much been worked all the way down. So, we're pretty confident -- we're very confident in terms of what we're seeing. And also, let me just dress, YUTIQ, I just want to say, it is a fantastic product. And it means a lot of high unmet need. And we are seeing very, very nice customer order momentum out in the field. Also, because it just performs, and these patients don't want to keep having to come back in for multiple injections, particularly when they're scared to death or going to go blind. So ask the question, I'm sorry, the second, Allergan and OZURDEX. I'm going to turn that over to Scott. He's closer out in the field in terms of the impact we're seeing with that.
Scott Jones: Sure. Andrew, to your second question, so we have not yet seen a pickup related specifically to that issue and for one reason. I think there was a lot of information in the community relative to a company shortage and physicians were able to stock up effectively. We do anticipate as they work through that stock that we will see additional trials with YUTIQ related to that issue though.
Andrew D’Silva: Okay. Okay. Thanks for the color and as it relates to that you mentioned partnership. Are they running their own manufacturing process? Or is this sort of being applied for the trials through your manufacturing and through your distribution channel?
Nancy Lurker: Yeah. Yeah, let me answer that question. So we are supplying it, and we have a supply agreement with them, and we will continue to supply finished product, they'll obviously package it under their own brand name. So that's how that works. We are not tech transfer in our technology over documentation in China. Second of all, let me just mention and this wasn't some of the earlier press release, but just to remind the audience the way this works is. In China, there are special needs zones that are allowed where you can begin to use either European or U.S. NDA approved drugs under special needs area of the country YUTIQ or DEXYCU sent alone has already been approved for that and is actually currently being used now. I'll bet it just started in commercial use for those types of patients. In parallel automation is running a clinical trial to get broader Chinese regulatory approval to launch this across the entire Chinese economy.
Andrew D’Silva: Okay, okay, that makes sense. Thank you. And then last couple questions just related to DEXYCU so as far as ASC go, are they're starting to feel, in your opinion more comfortable with the billing process now that they've had a couple quarters of leasing the product to the market and not having any issues? And then just as we think about it from, you know, 30,000 foot view, it seems like ASCs are getting rolled up by private equity more and more, does that change anything from a marketing standpoint or how you think about this space in general?
Scott Jones: Both great questions. So on the first relative to billing, we're certainly seeing an increase confidence level, especially as it relates to the Medicare part the population, we're seeing more and more of our accounts, you know, kind of open up the gates to that population. It's still taking an extended period of time in certain – with certain players on the commercial side and on the Medicare Advantage side, so accounts are being a little more cautious there. Again, as we're continuing to see more payers add execute to from a policy perspective and a payment perspective. We're starting to see the work that and the efforts that were putting in there to increase the utilization on that side as well. But certainly, the confidence levels high on the Medicare population.As to your second point on the private equity, the market has certainly changed significantly in the last two to three years. Private Equity now accounts for probably over 25% of the marketplace. And then another 50% is owned by the chain ASC – HCA is et cetera of the world. And so within those two market segments, which very much control the activities of the individual ambulatory surgery centers, there's much more controls which requires us to bring a different type of value proposition. We're certainly really working hand in hand with a number of private equity companies today to understand exactly what the value proposition is that we can we can provide an exactly what it is that they're evaluating in terms of new products. The one common thing that we're hearing today is they're really want to mitigate the risk. And so we're looking to partner with those companies to make sure that we can help mitigate the risk around DEXYCU.
Andrew D’Silva: Okay, okay, got you. And just my last two questions together here. Basically as we start thinking about drops as a pain point in general, are you seeing any headwinds related to using DEXYCU? Because patients typically will still have to use drops for the antibiotic [Indiscernible] or is that really just a non-event?And then you were referencing using other payers outside of Medicare Part B pass-through status, has the Medicare Part B private floor been maintained when you're being reimbursed through outside payers?
Scott Jones: So, onto the first question relating to drop of therapies, we're certainly seeing an increase in the utilization of drop of therapies in the market, simply because any opportunity to get away even from one drop is a huge advantage to the patient.And if you think about the number one complaint of patients post-cataract surgery, it is remembering the number of drops, the timing of the drops, and so anything that can be done to reduce that burden on patients, which ultimately becomes a burden on the physicians is seen as a positive in the marketplace.As to your second question, we are seeing an expansion of the coverage of DEXYCU into the Medicare Advantage space and into the typical commercial space as well. The -- I think for the most part, plans are covering DEXYCU today, based on just -- it's build as -- because we have a permanent J-Code; it makes the billing much more simple and a streamlined process.Payment rates seem to be fairly similar across all commercial lines. But again, we're certainly working with individual plans as well as with the ASC's to make sure that everyone is very comfortable with the coding coverage and payment before and during the process.
Andrew D’Silva: Okay, great. Thank you very much. I'll take everything else offline.
Operator: Thank you. And our next question comes from Yi Chen with H.C. Wainwright. Please proceed with your question.
Edward Marks: Good morning. This is Edward Marks on forum [ph]. I appreciate you taking the questions. Just three quick ones from me. First off how many ambulatory surgical centers have formally adopted DEXYCU? And how do you -- how many would have adopted do you think by the end of 2019?
Scott Jones: So, as I mentioned earlier in the presentation, we have over 350 that have been trained and certified today. We're continuing to bring on about 25 new accounts per month. And so we continue -- we expect to continue to see that throughout the remainder of the year.
Edward Marks: Okay. And you touched on this a little bit, but are the recently announced commercial agreements going to drive market penetration? Do you think more in the fourth quarter? Or do you think, it's likely going to be a 2020 story?
Scott Jones: We expect, we expect to see some pickup in the fourth quarter. But I think largely, this is a 2020 story.
Edward Marks: Okay. And then just the final one for me, has the FDA indicated that sNDA for the shorter term version of ET can be submitted without the additional clinical trials? And if not, then when do you expect it to obtain, any clarity on that?
Nancy Lurker: Yeah, let me answer that question, which is, we don't get into any discussions publicly around our discussions with the FDA. So I'm going to hold off on that question. And as I said in my prepared remarks, we fully expect to update everybody before the end of the year on the sNDA for you too.
Edward Marks: Right, okay. That’s all for me. Thanks, I appreciate you taking the questions.
Nancy Lurker: Thank you.
Operator: Thank you. And I'm not showing any further questions at this time. I will now turn the call over to; CEO, Nancy Lurker for any further remarks.
Nancy Lurker: Thank you, everyone, for your time today and for the very good questions. We look forward to keeping you updated on our commercial launch progress, as well as other business matters in the coming quarters. And we're going to continue to work hard to make these products, the new standard of care for both indications because we believe passionately in them. Thank you and we appreciate your continued support.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.